Rosa Stensen: Good morning, and welcome to Huddly's Q4 results. My name is Rosa Stensen, and together with me is Abhi Banik. In Q4, we report revenue of NOK 64 million, representing a full year growth of 42% with revenue of NOK 211 million. The gross margin in Q4 was 44%, 47%, excluding one-offs. The quarter is the fifth consecutive quarter with reported growth. We continue to deliver on our strategic strategy and the partner growth momentum continued. In the quarter, we activated our partnership with Jabra and signed new strategic partnerships with Lenovo. At ISE in Barcelona, Huddly had a very strong presence this year, reflecting on the results of the company strategy. At ISE, Huddly was present in many new product launches. Lenovo and Jabra announced the new bundles together with us in Huddly, and we showcased our own Huddly C1 Crew. Today, I want to recap on our investment case and strategy, which can be summarized as 3 key items: the market, our products and our go-to-market and distribution. First, have a look at the market outlook. Huddly is part of a large and growing market, which by analyst is expected to grow approximately 16% until 2029. Huddly products are very well positioned for that growth. Secondly, our products. Huddly has built a platform based on an AI native architecture to allow for more engaging and intelligent collaboration. With network-connected devices equipped with AI on the edge, Huddly products work as a platform of devices that allow you to scale the system as a room and usage requires. This is solving a very basic, however, still the #1 issue when it comes to collaboration across teams or locations. Either you cannot get the equipment up and run. And when you finally do, you cannot either see or hear what's going on. This unfortunately is still reported as the #1 issue for hybrid collaboration. So how we solve for this problem is with our AI native architecture, allowing everyone to get a world-class experience from their video and collaboration rooms. So I imagine you would have a live video crew producing all of your meetings. And this is as simple as calling in from your own personal device or just by pressing a button. With the AI native Huddly Crew platform, Huddly has made that a reality. As the category leader of AI multi-camera solutions, we are very pleased to see that multi-camera is becoming the new standard, chosen as a recommended solution for Microsoft's latest archetype BOM standards. And we continue to deliver on our road map, working towards a complete modular platform for any room scenario. At ISE in Barcelona, we introduced Huddly C1 Crew, enabling Huddly C1 on the Huddly Crew platform. By adding Huddly C1 into the mix, the Huddly Crew platform has now been audio enabled. Our customers now have the opportunity to extend their Huddly C1 audio and video bar with additional camera devices, opening up for even more room scenarios than previously. The three key item -- the third key item in our strategy is distribution and go-to-market. Our product distribution can be split into 2 main categories: Strategic Partner and Channel Partner-driven distribution. The key focus in 2025 has been to activate and open new Strategic Partner distribution. This, in addition to continue to organically grow our own distribution channel. So let's first deep dive on the Strategic Partner distribution. Throughout '25, signing new strategic partnerships and activating existing has been key focus. And we have started to see the results reporting the strongest Strategic Partner revenue since Q1 '23. We are, of course, very pleased that our unique products, Huddly C1, Huddly Crew and Huddly L1, with them, we've been able to enter into direct distribution partnerships with Shure, Jabra and now latest Lenovo. With Barco, we are one of few partners chosen for the bundle certification for the new ClickShare Hub offering. These partnerships to significantly increase the global market reach for Huddly products, both in existing and new markets. And to Lenovo. So we are, of course, very proud to be chosen as a partner for Lenovo. Lenovo is a leading PC manufacturer and a strong player in the AV market. Lenovo's AI compute offering purposely built to run video conferencing systems could not be a better fit with the Huddly product portfolio. We believe the bundles are going to be exceptional offering for our customers and are going to be entering the market in Q2. One key part of our Channel and Strategic Partner distribution are meetings with our customers at events such as ISE in Barcelona in February. As we continue to deliver on our strategy, Huddly presence at ISE has never been stronger. In addition to our own Huddly stand where Huddly C1 Crew was showcased, we had a strong presence at all of our partner stands. In addition to our Strategic Partners, Shure, Barco, Jabra and Lenovo, Huddly was also present with a 5-camera crew at the Microsoft stand and recently Google Meet certified Huddly Crew and C1 were to be found at the Google stand. So if you are interested to learn more about Huddly at ISE, go find more material at our LinkedIn page. The second key distribution for our products is our own channel distribution. The Channel continued its organic growth in '25. The growth has been driven by continuous work with our key strategic resellers and distribution partners, increased product adoption and new product introductions. We also continue to further improve the ways of working internally by, for example, utilizing the latest and greatest in tooling. And to summarize, Huddly in 2025 continued to deliver on its strategy and business plan, and we look forward to further enable our strategic partnerships throughout 2026. And with that, I will give the word over to Abhi.
Abhijit Banik: Thank you very much for that introduction, Rosa. I'll now, in this part of the presentation, summarize a bit about what we've been talking so far before I go into the financial details. The investment case that we presented so far in this announcement is mainly highlighted by 3 factors. The first one, attractive market, which is large and growing; number two, product leadership with our strong position within AI-enabled multi-camera solutions; and finally, go-to-market with key partners such as Lenovo, Jabra, Shure and Barco. All of this leads into our business case and what we are aiming as a financial outcome. In 2026, we estimate a revenue between NOK 450 million to NOK 550 million, gross margin of approximately 45%. This translates into cash flow positive from second half of 2026. In 2027, we anticipate revenue between NOK 625 million and NOK 725 million and in '28 between NOK 750 million and NOK 850 million. For those 2 years, we also expect a gross margin between 45% to 50%. You may notice that in the previous slide, there was a slight decline in gross margin in 2026. One of the contributing factors to this is the RAM price increases that we're currently observing. This is a market-wide trend that we're seeing, which is not only affecting Huddly, but also other AI-enabled products and also consumer electronics such as PC and electronics. Since Q4 2025, DRAM has increased quite sharply, and it is expected to continue into '26 and potentially also into 2027. The main driver for this shift is mainly due to a shift in production capacity from RAM over to high-bandwidth memory, which is quite often used in AI data centers. As a result, we do expect to see a headwind on gross margin in 2026. However, we are prepared to mitigate this risk, and we are looking at sourcing different -- from different vendors, streamlining operations and also evaluating pricing adjustments. In order to bridge the company to cash flow positive, yesterday, we launched a private placement. The aim is to bridge the company until cash flow positive in second half of 2026, and this is going to be used on continued investments in R&D, onboarding of Strategic Partners, expansion of Channel sales as well as repayment of a loan, which is due in June 2026. I will now move on to the financial details of the quarterly presentation. Revenue in Q4 2025 was a strong NOK 64 million, which is both a quarter-on-quarter and year-on-year growth, both in terms of Strategic Partners and Channel. In Strategic Partners, we do see a quite strong momentum, and we do expect this to continue in the next few quarters. In Channel, despite the increase in quarter-on-quarter and year-on-year, the revenue for that quarter was somewhat lower than expected, which was also communicated in the trading update in January, and this was mainly due to challenges in the North American market, which was again then connected to the shutdown of the federal. Moving into gross margin. Gross margin in Q4 was at 44%. And for full year, it was 46%, which is in line with targets that we have communicated for the year. However, if you exclude one-off items in Q4 2025, gross margin was approximately 47%. Let us summarize this into the P&L. As already been communicated, we had a strong revenue in the quarter, which then translates into a strong gross profit. Cost is under control. It is stable or declining. And hence, we do see quite a strong increase in operational efficiency, where EBITDA and EBIT is improving both in Q4 and for the full year 2025. During this presentation, we have heavily focused on our innovative position and our product leadership. This is enabled by the investments we are doing in R&D. We have a team of approximately 57 engineers, many of them with strong expertise within AI, machine learning, and this is a very important enabler for our product road map. This organization has enabled the shipment of C1, C1 with Crew, which is launching in Q1 and is also a very instrumental part of our growth journey going forward. Finally, I'd like to wrap up the presentation with the cash flow for Q4 2025. Cash flow from operations was improving and hit a plus of NOK 4 million in the quarter. And cash balance end of the year was NOK 69 million. As already explained, we have launched a private placement in order to ensure sufficient liquidity before we hit an estimated cash flow positive in the second half of 2026. And that concludes the presentation part of the quarterly announcement, and we will now move on to a Q&A session where we welcome questions from the audience.
Rosa Stensen: Hello, and welcome to the Q&A part of our presentation today. Now our Chairman -- Chair of the Board, Jon Øyvind, has joined us for any questions we have. And we are actually already started to receive quite a lot of questions. So thank you for your interest. So we will just dive right into that. Thank you. The first question is, what is the current status of the private placement? And I think Jon Øyvind, that it's a great question for you to take.
Jon Eriksen: Yes. And it's great to be here today. And we are very pleased to announce that Huddly yesterday has successfully executed a private placement, raising gross proceeds of NOK 75 million. The private placement was substantially oversubscribed, demonstrating solid interest from current shareholders as well as new investors. The price in the offering was NOK 20 per share, and this price represents a 2% lower price than the 30-day volume-weighted share price. So it was not a substantial discount from that. And we are grateful for the strong support from the shareholders who participated in the private placement. And we are also pleased to announce that there will be a subsequent offering of up to NOK 11 million which will be directed at the shareholders who did not have the opportunity to participate in the private placement. But again, we are grateful for the support from shareholders who strongly supported this private placement.
Rosa Stensen: Thank you, Jon Øyvind. And then there are questions about our revenue ambitions in 2026 and with regards to the newly signed agreement with Lenovo and if there -- that revenue is taken into account into the revenue ambitions in 2026. And Abhi, maybe you can say something more about our forecasting into '26.
Abhijit Banik: Yes. So we have included the best of knowledge that we have currently in terms of all our Strategic Partners plus Channel, including Lenovo, and that has been included in the estimates in our business case that has been shown in the quarterly presentation.
Rosa Stensen: Thank you. And then we have a question about our revenue model, if we are -- with our Strategic Partners are selling hardware units or if we are selling Software as a Service. So obviously, we are not going to go into any details of any individual agreement with any partners. But what we can say overall is that the revenue model for Huddly is that we are on a unit-based revenue sales. Another question is about the margins and working capital. So how do you expect the total gross margin from Q2 to develop? And will this impact the need for increased stocking or working capital in the ramp-up phase? Abhi, this is a typical one for you.
Abhijit Banik: So it's referring here to also the Lenovo agreement. So as has been stated, it's included in the estimates that we have provided to the market. We also communicated in the use of proceeds that due to the growth phase we are currently now, there is a working capital requirement because we are ramping up revenue. So that is included in the financing need, which we have just done a private placement for.
Rosa Stensen: And then there is a question about our private placements and the shareholder loan. There is about, can you give us an updated view of our cash flow and liquidity? How long do we expect the current cash to last?
Abhijit Banik: Yes, I can take that. So we have just provided an updated view on that in the announcement that we had yesterday and the presentation today. So we have just raised the money that we currently believe is sufficient to bridge the company to cash flow positive from second half of 2026.
Rosa Stensen: And then a question for me. Huddly has made a strong progress on the product side, but you still invest heavily in R&D in a very competitive market. Do you see any risk in keeping up this pace of innovation? And how do you think about balancing long-term growth with shareholder expectations, especially if ongoing funding will be needed to support R&D? So the capitalization of R&D in Huddly has been quite stable over time, but we are actually seeing quite strong results of that. And I think ISE is maybe one example of that progress. So Huddly is a leader in the multi-camera space with Huddly Crew. That was evident at ISE. What we also see is that we are attracting Strategic Partners such as Shure, Barco, Lenovo and Jabra that are coming to Huddly to support there with their product offering. Going forward, we believe that the level of the investments we are doing are healthy to both keep up with competition. And that's what is accounted for in our future plans in the updated business case. We'll see if there are any more. Let me see. We'll give you some time to see if there are any more questions coming in. No. Then I think we just give you 30 more seconds if there is any more. Otherwise, you can always reach us at ir@huddly.com or in the chat form. So we will come back and answer any questions that you might have. Well, one last one. Then -- is the Lenovo partnership the reason why you forecast significant growth in 2026? As we have stated, we are not going to go into any specifics on any specific of our partnerships. But what we -- the significant growth in '26 is a combination of all of our partnerships and distribution agreements, both on the Channel side and Strategic Partner side. So this is our best outlook, Abhi, as we have today and not particularly one partner more than other. And with that, then I think that was the last one. So please reach out to us at ir@huddly.com in case you have any additional questions. Thank you.